Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Sherritt International Corporation Second Quarter of 2025 Earnings Conference Call and Webcast. [Operator Instructions] I would like to remind everybody that this conference call is being recorded today, Wednesday, July 30, 2025, at 10:00 a.m. Eastern Standard Time. I would now turn the call over to Mr. Tom Halton, Director, Investor Relations. Please go ahead.
Thomas Matthew Halton: Thank you, operator, and welcome, everyone, to Sherritt's Second Quarter 2025 Conference Call. We released our second quarter results last night. Our press release, MD&A and financial statements are available on our website and on SEDAR+. During today's call, we will be referring to our presentation that is available on our website and on today's webcast. As we will be making forward-looking statements and references to certain non-GAAP financial measures, please refer to the cautionary notes on Slide 2 of our presentation as well as the material assumptions and risks associated with certain forward-looking statements and reconciliations of non-GAAP measures to the most directly comparable IFRS measures included in the appendix of the presentation. On the call today is Leon Binedell, Executive Chairman, President and CEO; Yasmin Gabriel, Chief Financial Officer; and Elvin Saruk, Chief Operating Officer and Head of Cuban Operations. Following a review of our results, we will open the call to questions. It is now my pleasure to pass the call over to Leon.
Leon Binedell: Thank you, Tom, and good morning, everyone, and thank you for joining us. I'll begin on Slide 4 with a summary of our second quarter results. At the start of the year, we guided that our finished nickel and cobalt production would be weighted towards the second half given the low opening inventory of mixed sulphides at the refinery. Although we anticipated lower results in the first half of the year, mixed sulphides production at Moa has not tracked to our expectations as a result of more challenging operating conditions in Cuba following the renewed maximum pressure policies from the U.S. on Cuba under the new administration. In response, we formed a task force and have been working with our Cuban partners to develop and implement a recovery plan with several initiatives already underway. In addition to the expected improvements from these actions, the ramp-up of Phase 2 of the Moa JV expansion will increase mixed sulphides production with higher MSP starting to be delivered to the refinery in the fourth quarter. Despite production being lower than we anticipated, we continue to effectively manage our costs with our net direct cash cost 8% lower year-over-year. We maintained low mining, processing and refining cost per pound and benefited from higher byproduct credits. In Power, the Varadero facility continued to operate in frequency control to support the Cuba national grid. This is contributing to lower electricity production this year, but Energas continues to be fully compensated for this reduction. We also saw lower gas availability during the quarter from a legacy CUPET well that was compromised. However, this was partially offset by the new well we brought online during the fourth quarter last year and increased supply from other wells. Lastly, we are pleased to have successfully closed the debt and equity transactions this quarter to strengthen our capital structure and extend the [ note ] maturities, providing Sherritt with more than 6-year runway to navigate through the current nickel price downturn. Turning to Slide 5. In response to the lower nickel price environment and materially reduced short- to medium-term pricing forecasts, we've implemented further significant cost reductions, expected to yield $20 million in annual savings, which Yasmin will provide more details on in a moment. The average nickel reference price reached multiyear lows during the second quarter. We continue to monitor government actions that may result in more favorable pricing dynamics for nickel in the future. The Indonesian government's imposition of sanctions on nickel companies for environmental violations underscores a shift towards stricter regulatory enforcement, which could curtail supply growth and increase production costs, thereby reducing Indonesia's cost competitiveness. Additionally, the decision to revert to 1-year mining quotas for 2026 from the previously issued 3-year quotas at the start of this year is indicative of further intention by the Indonesian government to actively intervene and maintain a market balance in nickel. While we are not counting on high nickel prices, any meaningful increase will greatly -- in prices would benefit Sherritt through both significant margin expansion and higher Cobalt Swap distributions. Notably, we are seeing higher prices for third-party feeds due to high Chinese payabilities for intermediate feeds, which also reflect increased producer price cost pressure. During the -- turning to the cobalt market. Prices remained elevated during the second quarter following the DRC's announcement in June to extend the cobalt export restrictions for an additional 3 months through to September. Reports indicate that a potential shift to a quota system are being considered as the DRC seeks to support prices by limiting exports. While government officials have expressed a commitment to maintaining a balanced market, any further measures such as additional controls of quotas could offer a continuation of the price support we are experiencing. I will now turn the call over to Elvin to provide more details on our operational performance.
Elvin Saruk: Thank you, Leon. Turning to Slide 7 for our results from Metals. As Leon mentioned, mixed sulphides production in Moa is lower, impacted primarily by the operating environment in Cuba, which has become increasingly difficult as a result of escalating U.S. pressure. Power grid stability remains a concern with periodical blackouts and rolling brownouts. The government has prioritized improving power generation and is actively pursuing measures to address this. At Moa, we have our own power generation capacity, which enables the plant to continue operations at a reduced rate during the country's power outages. Supply chain challenges are continuing, especially concerning certain critical input commodities. We have a history of navigating these challenges successfully and are actively working to reinforce certain safeguards for the Moa Joint Venture. We are also encountering constraints in the availability of specialized labor, contributing to increased maintenance downtime and lower equipment availability. To mitigate this, we are providing additional expat personnel at both the plant and the mine site to ensure the technical expertise and decreasing the downtime from unplanned maintenance. We are also expecting mine loading equipment deliveries during the third quarter for the ramp-up of the mine to support Phase 2 of the expansion. This new equipment will also contribute to improved availability. In addition to these factors, during the quarter, we had planned maintenance at the Moa Acid Plant. Normally, we would purchase acid to replace the loss from the shutdown to maintain production of mixed sulphides, but the purchase price was uneconomic. As a result, we saw approximately 1,000 tons lower MSP production at Moa for this decision. At the refinery, finished nickel and cobalt production has been impacted by the lower availability of mixed sulphides from Moa. We processed some third-party feed we acquired earlier, but we are seeing limited opportunity to acquire additional profitable third-party feed for the balance of the year. Finally, on fertilizers, sales volumes were lower year-over-year due to timing of purchases, which was significantly higher in Q1 this year compared to last year and lower customer demand in part due to seating in Western Canada occurring earlier this year. Now turning to Slide 8 on our net direct cash cost, or NDCC. Second quarter NDCC was USD 5.27 per pound of nickel sold, decreasing 8% year-over-year. We maintained strong cost control, further reducing mining, processing and refining costs per pound of nickel sold despite the lower production volumes. We also benefited from lower maintenance costs with the annual refinery maintenance shutdown scheduled for the third quarter this year as compared to the second quarter in the prior year. In addition to this, higher cobalt and fertilizer byproduct credits offset higher third-party feed costs we incurred, in part due to the higher Chinese payables for intermediate feeds, as Leon mentioned earlier. This underscores the rationale for our Moa Joint Venture expansion strategies, which will reduce our reliance on lower-margin third-party feeds and allow us to sell our excess MSP production in the future. Now turning to Slide 9 for an update on the Moa Joint Venture expansion. During the quarter, commissioning activities for Phase 2 of the Moa Joint Venture expansion continued as planned. Completion is scheduled for mid-August with the ramp-up set to commence thereafter, and we expect to start processing more mixed sulphides at the refinery in the fourth quarter of this year. The project remains on budget. Now turning to Slide 10 for an update on the Power business. Power production was lower this quarter as we expected with the Varadero facility operating in frequency control to support the national grid. Energas expects Varadero will operate in frequency control throughout most of 2025, reducing Sherritt's attributable electricity volume by approximately 150 gigawatt hours, which was factored into our guidance for power announced at the start of the year and which Energas will be fully compensated for. In addition, production was lower due to a legacy CUPET gas well, which experienced an increase in water production in the first quarter of this year. CUPET is actively working on a replacement well, which is currently being drilled and will go into production in September. The decrease in gas supply during the quarter was partially offset by increased gas supply from other wells. As for unit operating costs, they were lower during the quarter as expected, primarily due to lower planned maintenance with one major inspection of a gas turbine completed earlier this year during first quarter, whereas in 2024, there were 2 major gas turbine inspections in the second quarter. Finally, on Slide 11 for an update on our 2025 guidance. At Metals, with the operating challenges in Cuba resulting in lower mixed sulphide production and limited ability to supplement with third-party feeds, we are updating our guidance for 2025. We revised our guidance range for nickel production from 31,000 to 33,000 to now be 27,000 to 29,000 tons and for cobalt production from 3,300 to 3,600 to now be 3,000 to 3,200 tons. During the quarter, we made a few strategical decisions. When faced with the option to procure costly uneconomic sulfuric acid and third-party feeds to achieve production targets, we chose instead to safeguard our margins and liquidity. As a result, while our approach supported our margins and liquidity, it has also contributed to the revision in our metals production guidance for the year. We are also updating our guidance for our spending on capital after finding opportunities to defer or reduce spending. As a result, 2025 guidance for sustaining capital metals has been reduced from $35 million to $30 million, and the tailings facility spending has been reduced from $40 million to $35 million. The deferral of the 2025 spending on the new tailings facility does not change the overall project budget or completion time line. At Power, we are maintaining our guidance range for electricity production, but we expect it to be closer to the lower end of the 800 to 850 gigawatt hour range, primarily due to the loss in gas production from the CUPET legacy well, which is expected to be replaced by the new well in September. NDCC and unit operating cost guidance in Metals and Power as well as spending on capital in Power all remain unchanged. I will now turn the call over to Yasmin for the financial results.
Yasmin Gabriel: Thanks, Elvin. I'll begin with our financial performance on Slide 13. Combined revenue of $135.6 million, which includes revenue from the Moa Joint Venture on a 50% basis and which more holistically reflects our performance, was lower year-over-year, primarily driven by lower nickel revenue. Nickel revenue declined year-over-year due to a 15% decrease in average realized price and a 14% decrease in sales volumes driven by lower production. Cobalt's revenue increased from a 27% improvement in the average realized price, which more than offset the marginally lower sales volumes. Fertilizer revenue was lower primarily due to the timing of sales with increased demand in Q1 and the spring planting season in Western Canada ending earlier this year. The lower sales volume was partially offset by a 17% higher average realized price. We continue to pursue cost containment and operational efficiencies, which I'll touch on in a moment, and we expect these initiatives to help contribute to improvements to adjusted EBITDA going forward. Net earnings from continuing operations was $10.4 million. Adjusted net loss from continuing operations was $25.6 million and primarily excludes a $32.4 million gain related to the debt and equity transactions completed during the quarter. Turning now to liquidity on Slide 14. We ended the quarter with $45 million of available liquidity in Canada. Key changes in liquidity during the quarter included $5.6 million of dividends from Energas in Canada, $10.3 million in fees related to the debt and equity transactions. $8.7 million of interest on second lien notes, $6.2 million on contractually obligated rehabilitation and closure costs related to legacy Oil and Gas assets in Spain, and $4.4 million in property, plant and equipment expenditures. We also had positive cash from operating activities at our other business units, which primarily reflected timing of working capital receipts and payments. Finally, during the quarter, we extended the maturity of our revolving term credit facility to April 30, 2027, with no other significant changes to the terms, financial covenants or restrictions. Looking ahead for the balance of 2025. At Metals, based on current spot nickel prices and revised 2025 guidance, we expect that distributions under the Cobalt Swap agreement will be limited, commenced in Q4 2025 and will not meet the annual minimum amount in 2025. At Power, based on 2025 guidance, which includes electricity production that is expected to be at the lower end of the guidance range, we anticipate total dividends from Energas in Canada to be at the lower end of its previously disclosed range of $25 million and $30 million. Now turning to Slide 15. In response to persistently low nickel prices and expectations of materially lower short- to medium-term pricing outlook, coupled with ongoing challenges with the operating environment in Cuba, we have implemented significant cost reduction measures to deliver approximately $20 million in annualized savings. This is in addition to the $17 million in annualized savings from the cost reduction initiatives implemented last year. Since 2021, we have pursued rigorous cost optimization measures, including a 10% workforce reduction in the corporate office in May 2021, a 10% workforce reduction across Canadian operations in January 2024 and a further 10% workforce reduction at the corporate office during the second quarter in 2024. The executive management team has also been streamlined from 7 members at the start of 2024 to 5 members currently. These actions, together with ongoing efforts to identify further cost optimization opportunities, reflect the organization's proactive response to current and anticipated market conditions and demonstrate our commitment to building a leaner, more resilient organization, capable of weathering challenging market conditions while continuing to manage and mitigate the risk associated with our operations. I'll now turn it back to Leon for closing remarks.
Leon Binedell: Thank you, Elvin and Yasmin. And concluding on Slide 17. Although both the nickel pricing environment and operating conditions have been challenging, we have taken significant actions that we expect to increase metal production, lower our costs and improve margins, all of which will strengthen our performance going forward. Our dedicated task force has developed and begun implementing a recovery plan to address the operating challenges in Cuba. The Moa JV expansion is on track to complete commissioning in mid-August with ramp-up scheduled to commence later in the quarter. We expect Energas to benefit from CUPET's replacement gas well coming online in September. We closed our debt and equity transactions, strengthening our balance sheet, reducing our outstanding debt obligations, decreasing our interest expense and extending our principal maturity date to late 2031 and extended our credit facilities to April 2027. These efforts, combined with our latest significant cost reduction initiative that Yasmin elaborated on, position us well to mitigate the low nickel price environment with resilience. And now operator, I'd like to open the call to questions.
Operator: [Operator Instructions] So at this time, there are no further questions. I will now turn the call back over to Mr. Tom Halton for closing remarks. Please go ahead.
Leon Binedell: All right. Thank you, operator. If anyone has any questions, please feel free to reach out, and thank you all for joining us today.
Operator: We do have a question from Tony Robson from Global Mining Research.
Tony Robson: Apologies, fat fingers here. The -- it sounds like you're being hit in the Cuban operations sort of a triple whammy, lack of workers, therefore, need to bring in expats, lack of third-party feed and sulfuric acid prices, which was mentioned briefly in the call. So 2 questions here. What's sulfuric acid prices looking like, do you think for the rest of this year? And secondly, given your reduced guidance by about 4,000 tons, taking the midpoint for this year, what is the read-through, please, for 2026, where we thought, I guess, the expansion was going to add about, I think from my notes, 6,500 tons of MSP on the expansion. Where do you think...
Operator: Tony, I do apologize. I do think the host actually did disconnect the call. So what I will remind you is, as of what they did advise, any further questions, you can reach out to them on their website. But unfortunately, they did...
Tony Robson: Not a problem. I was -- I hit the wrong numbers, buttons on my phone. So my fault, not yours. Thank you very much for your time.
Operator: I hope you have a great day, and thank you for joining the conference. I enjoy your day, guys.